Operator: Ladies and gentlemen, greetings, and welcome to the Gaming and Leisure Properties' Second Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] It is now my pleasure to introduce your host Hayes Croushore. Thank you. You may now begin.
Hayes Croushore: Thank you, Adam. Good morning, everyone. We would like to thank you for joining us today for Gaming and Leisure Properties' second quarter 2017 earnings call and webcast. The press release distributed earlier this morning is available in the Investor Relations section on our website www.glpropinc.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. Examples of forward-looking statements include those related to revenue, operating income and financial guidance, as well as non-GAAP financial measures such as FFO and AFFO. As a reminder, forward-looking statements represent management's current estimates and the company assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements contained in the company's filings with the SEC and the definitions and reconciliations of non-GAAP financial measures contained in the company's earnings release. On this morning's call, we are joined by Peter Carlino, Chairman and Chief Executive Officer; and Bill Clifford, Chief Financial Officer of Gaming and Leisure Properties Inc. Also joining are Steve Snyder, Senior Vice President of Development; Desiree Burke, Chief Accounting Officer; and Brandon Moore, Senior Vice President, General Counsel and Secretary. And now I'd like to turn the call over to Peter. Peter?
Peter Carlino: Thanks, Hayes. Good afternoon, everyone. And we are pleased to present another quarter in line with our projection. Our earnings are happily tracking along with moving consistency until at least our next transaction. And we are pleased that the market has finally begun to recognize that consistency has reflected in the growth of our stock price. I'll say that we remain committed as always to responsible growth and as always we are pursuing kind of anything that's breathing and maybe actionable but it's always about responsible development. So with that exciting preamble, I think we've pretty well covered the details that you would want in our release, but let's go directly to any questions you might have and see if we can fill in any gaps.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Patrick Scholes from SunTrust. Please go ahead.
Patrick Scholes: Hi, good morning. Earlier today, Penn noted on their earnings call that they are - it appears to be that they are actively booking at some acquisitions. I would imagine that you are not in the dark and what's going on there and I am wondering is it fair to assume you might, you know any such acquisitions be involved as well? That's the first question. Second is, any update on looking at non-gaming assets or real estate? Thank you.
Peter Carlino: Let me take whacked at that and Bill and others may have some comment. Now, we are not necessarily aware of anything that those folks are up to. I mean they - and I wouldn't presume that they are going want us in every transaction. There certainly we maintain a contact with them and talk about our availability to assist them in a number of things. But they are under no obligation of course to work with us unless they feel like it or think they need it. And so that's I guess the quick answer. Second question was…
Patrick Scholes: Non-gaming, what is the most recent parts on that?
Peter Carlino: Oh, non-gaming. Yeah, I mean it's much the same and maybe Steve will add something to it. As it has always been certainly over the last quarter, we've looked at a number of things but not to couple of different cities, I mean being understandably big to look other entertainment concepts, but nothing is even come close to the top of something that we've be prepared to recommend the shareholders and so forth. I think look responsibly we have to as I say which is lots of frogs [ph], ugly looking buggers too, but you know we still looking for the princes, we every now and then go find one. But it's - we are not close to anything that we recommend. Steve?
Steve Snyder: I wouldn't have anything to add to that.
Peter Carlino: Okay. I think that kind of covers it.
Patrick Scholes: Okay, thank you.
Peter Carlino: Okay, you're welcome.
Operator: Thank you. [Operator Instructions]
Peter Carlino: Well, hearing no more questions, operator.
Operator: Gentlemen, we have one that just came in just now. Our next question comes from the line of Dan Donlin [indiscernible]. Please go ahead
Unidentified Analyst: Thank you and good morning.
Peter Carlino: Good morning.
Unidentified Analyst: So just really two questions from me. You are active with the ATM program this quarter, we're just kind of curious if your kind of at the level that you want or if you'll continue to kind of issue via that facility and just kind of curious as to what level you feel comfortable with or you know lot of these peers are kind of in the mid to high five range then there is a handful that are kind of under the five times net debt plus preferred EBITDA range. I am just kind of curious how far you are willing to take that down?
Peter Carlino: Sure. Yeah, during the quarter, we issued enough equity to cover the acquisitions for Meadows as well as the Tunica at a five and a half times leverage. I mean done that and with our normal pay down from the free cash flow that we don't distribute in dividend, we're projecting to be around 5.1. We think that over the natural course of that pay down and free cash that will get under five next year, and that's certainly kind of our target zone. So I think our expectations is that our leverage would basically fit between the range of five and five and a half. New transaction is getting down at five and a half, which would take our leverage backup over the five times leverage level. As relative to the ATM, we don't expect to short of a new transaction coming along. We don't expect to be issuing any more equity this year in out of the ATM program. So hopefully that answers your questions. I think our target goal is as a company, we think five is the optimal level and - but prepared to take it higher for transactions back and you know take it above five. But five being kind of the target zone and that's based on analysis we've done that shows that you know companies that trade at five and just slightly below five seem to have the optimal return levels in terms of expectations of being able to deliver values of shareholders and it's a level that going below doesn't seem to have any kind of a meaningful impact on your cost of borrowing. So being in the five range is kind of our news dated expectation.
Unidentified Analyst: Okay, thanks helpful. And then as we look at the balance sheet, you have quite a bit of debt coming due on in 2018, so I realize that ways away from that, but just kind of curious you know how you guys think about tackling that, is it going to continue to be the ten year papers at a mix of five and seven, you know one of those debt is I think a term loan, but just kind of curious your thoughts there and what should we expect from a timing perspective maybe in 2018?
Peter Carlino: Yeah, I think you know that we have two components to the debt, one is the term loan which is comprised of $300 million have drawn facility and $700 million revolver, the revolver as it been today is undrawn. We paid and it's highlighted in the press release but we paid an additional 50 million of debt which was the remaining 15 million on the revolver and the rest linked towards the $300 million funded piece. It's our expectations, we are going to approach our banks probably in the fourth quarter with the goal to probably coming to an understanding resolution of how we are going to extend or redo the back facility with sufficient capacity to be able handle the bonds that are maturing in November of next year. Our expectation however is that we would issue new bonds next year but we will have enough capacity within the revolver to be able take of that as the bond market should happen to go sideways on this. I think we managed our - pretty conservative on how we think about that. So one other things that we've talked about doing is increasing the amount of the revolver to cover the billion dollar maturity that happened in 20. So obviously again with the goal, we would not draw on revolver but have the insurance behind us so that should we end up in a difficult bond market, which going to happen during I mean the most recently during the election, the whole bond market kind of went a little bit. That's queue for probably I would say four month. We don't want to get ourselves caught in that kind of situation. In the way our bonds were at least the next months that are maturing is they are due on the end data. There is not a grace period, we put a grace period in on the ones that we just issued with the let's say grace period I mean that we can fund or pay down, pay off the bonds without a penalty early with the bonds that we just issued back with the pinnacle transaction.
Unidentified Analyst: Okay, that's helpful, that's it for me.
Peter Carlino: Okay, thank you.
Steve Snyder: Thank you.
Operator: Thank you. [Operator Instructions] Ladies and gentlemen, that appears we have no questions in queue at this time. I would like to turn the floor back over to management for closing comments.
Peter Carlino: Operator, thanks very much. And thank all of you for dialing in today. We realize it's a busy earnings release day and people are wondering in other places as well. I would like to thank that the consistency of what we're doing and what has been, I think pretty well explained in our release is a good reason for people just read at their leisure. So thanks again. We'll be back next quarter. Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude the teleconference for today. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.